Operator: Good morning. My name is Liandra, and I will be your conference operator today. At this time, I would like to welcome everyone to LKQ Second Quarter 2017 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mr. Joe Boutross, LKQ's Director of Investor Relations, you may begin your conference.
Joseph P. Boutross - LKQ Corp.: Thank you, operator. Good morning, everyone, and welcome to LKQ's second quarter 2017 earnings conference call. With us today are Nick Zarcone, LKQ's President and Chief Executive Officer; and Michael Clark, LKQ's Vice President of Finance and Controller. Please refer to the LKQ website at lkqcorp.com. Our earnings release issued this morning as well as the accompanying slide deck presentation for this call. Now, let me quickly cover the Safe Harbor. Some of the statements that we make today may be considered forward looking. These include statements regarding our expectations, beliefs, hopes, intentions or strategies. Actual events or results may differ materially from those expressed or implied in the forward-looking statements as a result of various factors. We assume no obligation to update any forward-looking statements. For more information, please refer to the Risk Factors discussed in our Form 10-K and subsequent reports filed with the SEC. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release and slide presentation. And with that, I'm happy to turn the call over to Nick Zarcone.
Dominick P. Zarcone - LKQ Corp.: Thank you, Joe, and good morning to everybody on the call. I am delighted to share the results for our most recent quarter with you. I will begin with a few high-level financial metrics before providing an update on our operating segments and discussing a few of the macro trends we witnessed during the quarter. I will then turn the call over to Michael Clark, who will provide some segment-level financial detail, and then I will come back to comment on our updated guidance and make a few final remarks before taking your questions. All-in-all, we believe Q2 was a strong quarter for our company and we are pleased with the results. As noted on slide 3, consolidated revenue was $2.458 billion, a 6.7% increase over the $2.3 billion recorded in the second quarter of last year. Total revenue growth from parts and services was 6.4%. Importantly, organic growth in parts and services was 3.8% on a reported basis. After taking into account the fewer selling days in Europe related to the timing of the Easter holiday, organic growth was a solid 4.9% on a same-day basis. It's nice to see the organic growth begin to pick up from the levels we experienced in the first quarter. Income from continuing operations for the second quarter of 2017 was $151 million, an increase of 9.5% over the comparable quarter of last year, resulting in diluted earnings per share from continuing operations of $0.49 as compared to $0.45 for the comparable period of 2016. On an adjusted basis, diluted earnings per share from continuing operations was $0.53 compared to $0.52 for the same period last year. Let's turn to the operating highlights. As you'll note from slide 6, parts and services revenue for our North American segment grew 5.5% in the second quarter of 2016 compared to the comparable quarter of 2016. Organic revenue growth for parts and services in North America was 2.8%. This reflect a nice uptick from the 1.8% recorded in the first quarter and a touch above our expectations coming into the quarter. There is no doubt that the mild winter weather patterns, which hit us particularly hard in the winter months, carried over into the spring as our body shop customers have limited backlog of work coming into the second quarter. As witnessed for several quarters now, we continue to grow our parts and services revenue faster than the market as a whole. According to CCC, collision and liability related auto claims on a national basis were up only 1.7% in the second quarter of 2017, following a 1.1% increase in the first quarter. So, our growth of 2.8% in Q2 reflects a 110 basis point outperformance, and gives us confidence that we continue to do the right things to serve our customers. Importantly, the growth in our core collision product continues to be stronger than the North American average as whole. We also had an excellent quarter in terms of the sale of salvage mechanical parts, and the PGW aftermarket glass business, which we owed for a full year as of April 21, 2017, was a solid contributor to the overall North American organic growth rate during the remainder of the quarter. The total loss rates continue to increase, reaching 19% at the end of the second quarter. CCC believes this increase is the result of the mix effect and hangover of an older vehicle fleet and a slight uptick in the vehicles one- to three-years old being deemed a total loss. It's important to note that cars in both these age groups are not representative of our collision sweet spot of 3 to 10 years. So despite this slight uptick in the total loss rate, we don't believe that it had a material impact to our current business. Additionally, according to the U.S. Department of Transportation, miles driven in the United States were up 1.2% on a nationwide basis in April. But miles driven in the Northeast and South Gulf regions were only up 0.3% and 0.6%, respectively. So clearly, we are, again, witnessing significant regional differences in some of our key markets where miles driven are trending below the national average. During the second quarter, the impact of acquisitions added 2.9% to parts and services growth in North America, with most of that reflecting a few weeks of revenues related to the acquisition of the PGW aftermarket glass business. We lost about 20 basis points of growth due to currencies, primarily related to the Canadian dollar. We purchased 77,000 vehicles for dismantling at our full-service wholesale operations, a 6.9% increase over the comparable quarter of the prior year. The auctions continue to be healthy and we have access to the vehicles, we believe, we need to continue the growth of our recycling operations. For our North American aftermarket business, we have been expanding both our total collision SKU offerings as well as the total number of certified parts available, each growing 9.1% and 17.6%, respectively, year-over-year in the quarter. In our self-service business, we acquired $141,000 lower-cost self-service and crush-only vehicles, reflecting a 2.2% increase over the second quarter of last year. Our self-serve team has proactively managed the fluctuations in the scrap market by quickly adjusting the cost of goods sold relative to the current market conditions and having an operating culture focused on cost management. Overall, I'm happy with our operating performance of the North American business. During the quarter, gross margins improved 40 basis points compared to the prior year, in part due to enhanced productivity of our salvage operations, wherein the revenue per car increased at a faster rate than the car cost, reflecting refinements to buying algorithms and an emphasis on inventorying more parts per car and also holding the cars a bit longer. I'm particularly happy with the ongoing benefits we are experiencing with our productivity initiatives. Although you won't see the same year-over-year improvement in margins because the major benefits from the procurement initiative were first realized about a year ago, we continue to benefit from the ongoing savings which are estimated to be about $9 million on a quarterly basis compared to the base 2015 levels. With respect to Roadnet, for the month ended June 2017, we were operating at a 97% usage level across our fleet with year-over-year increases of 60% in terms of miles dispatched, 28% for stops dispatched, and 34% for routes dispatched. I'm particularly pleased that we have reduced our missed service windows by 53%, which today stands at less than 1%, another validation of our continued commitment of stellar delivery service to our customers. Lastly, we integrated three PGW branches into an existing LKQ facility during the first quarter, added another in Q2, and have completed two more early in Q3. We have an additional seven-branch consolidation scheduled for the remainder of the year, which will bring the total consolidations to 13 for 2017, and this will help the cost structure on a going forward basis. Moving to the other side of the Atlantic, our European segment achieved total revenue growth of 7.9%. Importantly, organic revenue for parts and services witnessed growth of 4.1% on a reported basis and 7.1% on a same-day basis. Remember, we lost up to two selling days in many European countries due to the Easter holiday falling in Q2 this year compared to the first quarter of last year. Now that Rhiag has reached its anniversary date and it was included in the results of operations for the full quarter, both this year and last year, we are going to report the growth on a segment basis only, just like North America, as opposed to on a business-by-business basis. What I can tell you is that on a same-day basis, the organic growth of ECP and Sator were above 5%, while Rhiag was in double digits, which we believe are terrific results for all of the entities. Acquisitions added an additional 10% revenue growth in Europe during the second quarter of 2017, but the weaker currencies, when compared to the 2016 rates, resulted in a 6.2% decline, largely due to the significant year-over-year decline in the pound sterling. The UK team performed extremely well in light of a challenging macroeconomic environment. The stagnant wage growth in the UK, when combined with currency-induced inflation resulting from the Brexit referendum has created a challenging operating environment for our UK business. Despite those challenges, our team remains focused on driving market share and continuously creating a great service experience for our customers. In particular, our collision offering in the UK provides insurance carriers an attractive value proposition as they face the same dynamics as domestic carriers with increased repair cost and pressure on cycle time. Our Netherlands operation recorded some of the highest same-day growth since we bought the business and is reflective of the ongoing integration of the tuck-in acquisitions we've completed over the past few years. And the double-digit same-day revenue growth at Rhiag is a result of better-than-expected performance in Italy, and a growing, yet very old car park in Eastern Europe, which creates excellent demand for the types of parts we distribute. During Q2, we opened up a total of 13 new branches in Europe, including one new location in the UK and 12 new locations in Eastern Europe. Over the past 12 months, we have opened 47 new branches in Europe, including seven in the UK and 40 in Eastern Europe. With respect to Tamworth the warehouse, our T2 project, I am pleased to report that ECP is still on plan with the implementation process and is almost finished with system testing. Product stocking at T2 started the last week of June. And this past Tuesday, we had the very first shipments out of the facility to just a couple of our branch locations. We continue to believe we'll be fully operational at T2 by the end of the year and the project remains on time and on budget. With respect to Andrew Page, as anticipated during our call last quarter, the UK Competition and Markets Authority, or CMA, has initiated a Phase 2 investigation of our acquisition of this company. We anticipate this review will be completed by year-end. We remain optimistic and believe that the evidence supports that our acquisition of Andrew Page will not lead to any material lessening of competition. But the end decision rests with the CMA and we could be required to divest some or all of the business. While the CMA investigation is ongoing, we have been required to operate under what is called a hold separate order, which means we are not able to integrate the companies, and ECP and Andrew Page must continue to operate as competitors in the marketplace. As a result, we are very limited as to what we can do to improve the business as we cannot eliminate any of the duplicative expense. We know there are solid synergies and customer benefits available if we can put the companies together, but until we get the requisite clearance, our hands are tied and Andrew Page will continue to be unprofitable. The overall outlook for our European segment and its strategy remain favorable in terms of our ability to grow both organically and through acquisition. According to statistics included in the European Automobile Manufacturers' report, we currently operate in countries representing about 50% of the European car park, including operations in four of the five fastest-growing car parks. So, we have plenty of runway to grow. And finally, our Specialty segment continued to perform very well, achieving organic revenue growth of about 5.9% during the second quarter of 2017. Truck and SUV sales, which benefit our Specialty segment, remains very healthy. Additionally, the performance of our Specialty segment was aided by the strength in the RV market, which is benefiting from increased consumer confidence, the retiring of America's workforce, attractive financing options and lower fuel prices. According to RV industry statistics, in 2016, total RV unit sales reached an all-time high, and related accessories represent key product categories for our Specialty segment. To help support the growth of this segment, we are in the process of adding a new 450,000 square foot Specialty Parts Distribution Center in California that is expected to come online in the second quarter of 2018. Our corporate development activities have continued in earnest as evidenced by our acquisition of seven businesses during the second quarter. Most of these were smaller companies with a combined annualized revenue of about $68 million. These include a salvage operation in Pennsylvania, a transmission rebuilder in Atlanta to augment the greenfield capacity we are bringing on in Oklahoma City; three small aftermarket distributors acquired by ECP, including another distributor in the Republic of Ireland; one small aftermarket distributor in Italy, and another small automotive paint business in Sweden. In addition, on July 3, the first business day of the third quarter, Sator closed on the acquisition of four aftermarket distribution businesses in Belgium that will help to solidify our competitive position in that market. And on July 10, Sator acquired a small garage management software company. So, the pace of activity continues to be brisk. We will continue to look for opportunities to grow the breadth and depth of our customer offerings through the addition of successful, well-managed businesses to our family of companies around the globe, and the pipeline of potential transactions is robust. And now, I will turn the discussion over to Michael Clark, who will run through the details of the segment results.
Michael S. Clark - LKQ Corp.: Thanks, Nick, and good morning to everyone on the call today. While I've been working behind the scenes on our quarterly calls for quite a while, this is my first time speaking to the group, and I'm excited for the opportunity. Nick touched on a few of the key financial statistics, and I will take you through the more detailed review of the consolidated and segment margins for the quarter. Nick described the trends behind our reported revenue of $2.46 billion, so I'll start with our consolidated gross margin. As noted on slide 13 of the presentation, the consolidated gross margin percentage was flat quarter-over-quarter at 39.3%. The result reflects improved margins in North America, mostly on the salvage side, offset by roughly equal decreases in our Europe and Specialty segments. We saw about a 40 basis point increase in our operating expenses, largely due to our Europe segment. We continue to experience negative impact from costs associated with the Andrew Page acquisition. Until we receive clearance from the CMA, we are unable to implement a full integration, which has left us with some cost inefficiencies. Segment EBITDA totaled $306 million for the second quarter, reflecting a $6 million or 2.1% increase over the comparable quarter of 2016. As mentioned, there were fewer selling days in Europe in the second quarter of 2017 compared to last year, which would negatively impact our segment EBITDA dollars this period. As a percentage of revenue, segment EBITDA was 12.4%, a 60 basis point decrease over the 13% recorded last year. During the second quarter of 2017, we experienced a $7 million decrease in restructuring costs compared to the prior year, but a $1 million increase in depreciation and amortization expense, largely due to recent acquisitions. With that, operating income for the second quarter of 2017 was up about $12 million or roughly 5% when compared to the same period last year. Interest expense was flat quarter-over-quarter, as we had similar average borrowings and effective interest rates. Non-operating items were favorable by about $5 million compared to last year, as Q2 2017 includes a $3 million gain on bargain purchase, primarily related to adjustments to the Andrew Page net asset values. We pulled this gain out of adjusted income from continuing operations and diluted EPS. Other non-operating income includes foreign exchange gains and losses and various ancillary income, such as late payment fees. Non-operating income and expenses are difficult to forecast from quarter-to-quarter, so I caution on projecting future periods based on the Q2 results. Pre-tax income during the second quarter of 2017 was $226 million, up $18 million or 8.4% compared to the prior year. Our net tax rate during the second quarter was 33.6%, down from 33.7% in 2016. The 2017 rate reflected an effective rate of 35.15% and some discrete items that reduced the reported rate, the most significant of which is the excess tax benefits associated with stock-based compensation. The effective rate, excluding discrete items, of 35.15% is 40 basis points higher than Q2 2016 due to an increase in the effective rate for our Europe segment, resulting from tax law changes and a shift in the geographic mix of our European earnings. Diluted EPS from continuing operations for the second quarter was $0.49, which was up 8.9% compared to the $0.45 reported last year. Adjusted EPS, which excludes restructuring charges, intangible asset amortization, the tax benefits associated with stock-based compensation, and other one-time unusual items, was $0.53 in the second quarter of 2017 versus $0.52 last year, reflecting a 2% improvement. Stronger scrap and other metals prices added about $0.01 to EPS in the second quarter of 2017. And as anticipated, the translation impact of currencies had a negative impact of about $0.01 during the quarter. With the U.S. dollar weakening and having passed the anniversary of the Brexit vote, the translation impact of currency should have a lesser impact on the remainder of the year than what we experienced in the first half of 2017. And with that, let's get into the details on the segments. Revenue in our North American segment during the second quarter of 2017 increased to $1.207 billion, up 6.1% over 2016. Gross margins in North America during the second quarter were 43.9%, up 40 basis points over the 43.5% reported last year. The strong results reflected the benefits of procurement initiatives in both our salvage and aftermarket operations, partially offset by reductions due to higher customer discounts in our aftermarket business and a decrease in our self-service margin. While scrap steel remained a favorable factor for this business, it was less impactful on the second quarter of 2017 than it was in 2016. With respect to operating expenses in our North American segment, we lost approximately 50 basis points of margin compared to last year. We saw benefit of about 30 basis points from eliminating shared PGW corporate costs after the sale of the OEM business in March. Outside of this benefit, overhead expenses were up 80 basis points, of which about a little less than half came from personnel-related costs. The remainder of increase relates to various individually insignificant items, mostly in selling, general and administrative costs. In total, segment EBITDA for North America during the second quarter of 2017 was $174 million, a 4.6% increase over last year. As a percentage of revenue, segment EBITDA was 14.4% in Q2 of 2017, down 20 basis points from the 14.6% reported in the comparable period of the prior year. While the margin was down slightly in Q2, 14.4% is on the high end of the range of what we've seen in North America over the last five years. Looking at slide 18, scrap prices were up 9% over the last year and moved about 4% higher in Q2 relative to Q1. As noted previously, the impact of scrap prices was a benefit to Q2 EPS, but was seen mostly in April and had minimal minimum impact in the subsequent months. So assuming prices stay at current levels, we will not get the same level of positive impact during the remainder of the year. Moving on to our European segment, total revenue in the second quarter accelerated to $890 million from $824 million, an 8% increase. Q2 is the first quarter in which we had a fully comparable period for Rhiag. Thus, the mix impact in gross margin and overhead expenses related to Rhiag that we discussed on prior calls is no longer a factor in the quarter-over-quarter comparison. However, we won't annualize Andrew Page until Q4, so this acquisition continues to have an impact on the comparisons to prior period. Gross margins in Europe decreased to 37.2% in Q2, a 20 basis point decline over the comparable period of 2016. Gross margins at Rhiag had a 40 basis point negative impact, which is attributable to higher customer rebates, contributing to lower net prices. Our ECP operations had a 20 basis point negative impact due to higher costs related to the new national distribution center, or T2. Our other European operations, primarily the Sator business, had a net favorable 40 basis point quarter-over-quarter impact. We're emphasizing procurement initiatives across our European organization, including negotiating consolidated rebate and discount programs with suppliers, and we expect the yield benefits late in the year and into 2018. With respect to operating expenses, as a percentage of revenue, we experienced a 140 basis point increase on a consolidated European basis quarter-over-quarter, and 30 basis points sequentially. The factors negatively impacting operating leverage remain similar to the prior quarter: the inclusion of Andrew Page, which is still losing money while we operate under the hold separate order; increased facility costs related to additional branches in the UK; and higher personnel costs in our Sator business. European segment EBITDA totaled $84 million, a 7% decrease over last year. As shown on slide 21, relative to the second quarter of 2016, the pound declined 11% and the euro declined 3% against the dollar. On a constant currency basis, EBITDA in Europe declined by just 1%. As a percentage of revenue, European segment EBITDA in the second quarter of 2017 was 9.4% versus 10.9% last year, 150 basis point decline. Approximately 90 basis points of the decline relates to the impact of the Andrew Page and the incremental costs in 2017 related to T2. Having fewer selling days, both relative to the prior-year quarter and sequentially, negatively impacted our leverage on fixed costs compared to both periods. Turning to our Specialty segment, revenue for the second quarter totaled $363 million, a 5.5% increase over the comparable quarter of 2016. Gross margins in our Specialty segment for the second quarter decreased 90 basis points compared to last year, largely due to unfavorable product mix with a smaller negative effect from higher warehouse costs capitalized in inventory due to the two new distribution centers added in 2016. Operating expenses as a percentage of revenue in Specialty were down about 170 basis points as we continue to see the leverage from integrating recent acquisitions into our existing network. We're very pleased with the cost savings we've achieved in this segment over the last year. Segment EBITDA for Specialty was $49 million, up 12% from Q2 of 2016, and as a percentage of revenue, segment EBITDA was up 80 basis points to 13.4%. Specialty is a highly seasonal business and the second quarter is typically our strongest. Consistent with the normal seasonal patterns, you should assume these margins will moderate as we move through the back half of the year. Let's move on to capital allocation. As presented on slide 24, you will note that our cash flow from continuing operations during the first half of 2017 was approximately $366 million as we experienced strong earnings and only a moderate increase in working capital. Through June 2017, we deployed $184 million of capital to support the growth of our businesses, including $88 million to fund capital expenditures and a net $96 million to fund acquisitions and other investments. The largest capital changes reflect a pay down of $423 million debt, largely funded by the net proceeds derived from the sale of the PGW glass manufacturing business in March. Going to slide 25, as of June 30, we had about $3 billion of total debt outstanding and approximately $300 million of cash, resulting in net debt of about $2.7 billion or 2.5 times last 12-month EBITDA. We have more than $1.4 billion of availability on our line of credit, which together with our cash yields total liquidity of over $1.7 billion. At this point, I will turn the call back over to Nick to cover the guidance update.
Dominick P. Zarcone - LKQ Corp.: Thanks, Michael. With respect to our guidance for 2017, we've made some updates based on where we are sitting at the halfway mark of the year. Organic growth for parts and services has been narrowed to 4% at the low end and 5.25% on the high end, reflective of the fact that we're sitting at 4.1% for the first six months. Likewise, we have narrowed the range for our adjusted diluted earnings per share from $1.84 at the low end to $1.92 on the high end, increasing the midpoint to $1.88 per share. The corresponding adjusted income from continuing operations is $570 million to $595 million, while cash flow from operations has been revised up to $620 million to $650 million. Capital spending has remained constant at the $200 million to $225 million range. The updated guidance reflects an effective tax rate of 35.15% and exchange rates in the back half of the year of $1.30 for the pound sterling, $1.15 for the euro and scrap at $150 per ton. As it relates to our effort to bring on a new Chief Financial Officer, the response to our search process was terrific and we have had the opportunity to meet with some incredibly talented professionals over the past few months. Whittling down the talent has been hard, but we are in the final phase of the process, and I expect we will have a final decision in the near future. In summary, Q2 was a solid all-around quarter accentuated by an uptick in organic growth across all of our segments. The overall results reflect the collective efforts of our more than 40,000 employees around the globe, who are working hard to serve our customers each and every day. I would like to thank each of them for their dedication. Finally, I would like to thank Rob Wagman for his efforts during his 19 years at LKQ. As you know, Rob stepped down on June 1, and is now serving as Executive Advisor with a focus on corporate development activities. Rob's contributions during his tenure were countless, and I look forward to his continued insights as we move forward. And operator, we are now ready to open the call for questions.
Operator: And your first question comes from the line of James Albertine with Consumer Edge. Your line is open.
James J. Albertine - Consumer Edge Research LLC: Great. Thank you, and good morning, gentlemen.
Dominick P. Zarcone - LKQ Corp.: Good morning, Jamie.
James J. Albertine - Consumer Edge Research LLC: And I want to add as well, thanks to Rob, if he's listening, and really have enjoyed working him over the past many years, and wish him the best. If I may, organic growth, North America, first. It seems, when we look at the broader units in operation sort of in this cycle that we're finally getting to a point where you're getting a bigger supply of that sort of three- to four-year-old segment that off-lease vehicle, if you will, as a proxy. I would imagine that that should continue for the remainder of this year and into next year. But wanted to hear from you guys, as you are seeing parts orders coming in and you're serving customers, are you getting a sense that there is growing number of orders for those sort of younger vehicles? And so, even though, compares are easier in the back half that maybe there is an additional tailwind from that units in operation sort of flurry?
Dominick P. Zarcone - LKQ Corp.: Sure. So, a couple of questions you got built in there, Jamie. But all-in-all, we are expecting that the car park and the age of the car park will be a gentle tailwind as we move forward. In our standard information that we provide the investment community, our standard investor relations deck, we include a slide, as you know, that is what we call our collision sweet spot of 3 to 10 years. And for the first time in many years, the number of cars that fall into that age bracket in 2017 is actually ticking up a little bit. Now, it's not significant, so we don't anticipate any major movements here in 2017, but at least it's movement in the right direction, I believe, from about 101 million units to 103 million units. Then we get another more substantial uptick in 2018 and 2019. So, there is no doubt that we've sold the better part of 52 million vehicles in this country over the – new vehicles over the last three years, as those vehicles begin to come in to our 3- to 10-year sweet spot, there will be more cars that will need the types of parts that we sell. We do the best we can to track the vintage of parts that we're selling. We haven't seen a material shift, if you will, thus far. But again, we do believe that as the number of cars in a sweet spot grow that that will be a gentle tailwind to our business.
James J. Albertine - Consumer Edge Research LLC: Okay. Great. And then my last one, if I may ask, on Europe sort of a similar question. I know the business over there is a little different. But can you help us frame kind of where the car park in Europe is within the cycle and how we should think about that? And then a point of clarification, I think I heard you say Rhiag was growing at a double-digit rate. Want to clarify if you were talking organically. And so, as we think about that coming into the organic base for the third quarter, if that's going to be a double-digit contributor and we should take that into account in our models? Thanks.
Dominick P. Zarcone - LKQ Corp.: Yeah. So, with respect to the European organic, again, the business there is differently because we are adding branches, they get closer to the customer base. You have to remember that in the European business, we need to be within 30 to 60 minutes of delivery time between our branches and the customers in order to fulfill their expectations. Part of the way we do that is to add new branch operations to get close to the customer base. That's how we grow actually our market share, if you will. So, some of the growth in Europe comes from, what I'll call, the organic growth of the more mature branches. Some of the growth comes from having just more dots on the map, right. And so Rhiag – and this is all same day, to make it simple and take the calendar out of the mix, right? Rhiag was just north of 10%, on a same-day organic basis. About 55% to 60% of that was the contributions for what we would call the more mature stores. And then the balance of it was the impact of those 40 new branches that we've added in Eastern Europe over the last 12 months. If you move back to the ECP, where organic growth was just shy of 6% on a same-day basis, about 85% of that came from the stores that we've had for more than a year and about 0.9% of growth came from those seven new stores that we added over the last 12 months. The car park in Europe, it's aging a little bit as well, but it's – you've got a couple different car parks in Europe right. You have Eastern Europe where the average age of a car is still 9.5, maybe 9.6 years old and then you've got Eastern Europe where the average age of car is over 14.5 years old. So there's some very different dynamics based on the geography. But the car park is continuing to grow. It's growing faster in Eastern Europe than it is in Western Europe. That's said, in 2016, the number of auto registrations in the UK hit an all-time high. So, there is a good backdrop for our businesses as we continue to move forward.
James J. Albertine - Consumer Edge Research LLC: Well, thank you so much for that detail. I appreciate. The 55% to 60% of the mature stores in Rhiag, though, can you give us a number in terms of what they're growing at? I know the bend is above 10%...
Dominick P. Zarcone - LKQ Corp.: Well, yeah...
James J. Albertine - Consumer Edge Research LLC: ...in the mature stores?
Dominick P. Zarcone - LKQ Corp.: So, it's 5.6% to 6%.
James J. Albertine - Consumer Edge Research LLC: Understood. Thank you again.
Operator: Your next question comes from the line of Michael Hoffman with Stifel. Your line is open.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Thank you, Nick, for taking my questions. Can we dig a little bit into the collision business, and the parts and service numbers in the U.S. versus your relative position? So, if we think of the business as sort of 65%-35% collision versus mechanical, can you give us some flavor on what was happening in that mix given that there is two different sweet spots and collision is getting better, but mechanical probably gets a little worse?
Dominick P. Zarcone - LKQ Corp.: Actually, no real shift, Michael, in our, kind of, if you want to think, product line revenue or growth. I mean, the reality is the core collision product, think about Keystone (41:43) in a box, if you will, the core aftermarket product grew higher than the 2.8% total. Our salvage mechanical parts, engines, transmissions and some of the other big mechanical pieces, right, they were above the 2.8% as well. Again, as has been the case now for several quarters, we do have some product lines that are soft. We talked about this in the past. Aluminum wheels, paint, cooling continue to be soft. But again, there has been no major shift in kind of the relative contribution of salvage versus aftermarket or mechanical versus collision.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: So, we dug into the sort of a hot items like bumpers, mirrors, doors, they're showing really good trends and that's clearly a sign of, you're still gaining share relative to the market?
Dominick P. Zarcone - LKQ Corp.: Yeah. And again, the fact that our organic was at 2.8% and total repairable claims are only up 1.7%, that gives us confidence that we are continuing to, at a minimum, hold our own and likely gaining share...
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay.
Dominick P. Zarcone - LKQ Corp.: Absolutely.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: And then if I switch gears to Europe, if Andrew Page got closed December 31 and T2 comes on as planned, how do you think about what that margin – the favorable margin implication of that is in 2018?
Dominick P. Zarcone - LKQ Corp.: Yeah. Well, so last year, in 2016, Andrew Page hit us for about $0.02 a share. As we've indicated this year, we think it's going to hit us for $0.03 a share. It's going to take some time. Once we get our – the ability to truly mange Andrew Page, it's not going to be an overnight flip, but ultimately we will be able to rationalize the way we believe all those losses and ultimately get it into a profitable situation. And so, yeah, I'd call, $0.02 to $0.03 of incremental value potentially next year.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Well, that's just getting to zero, right, I mean, as opposed to – take it from a loss of zero is $0.03?
Dominick P. Zarcone - LKQ Corp.: Correct. Now, we anticipate we're going to be able to get it into profitability. But again, that doesn't happen overnight, Michael.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Got it. Got it. The leverage is greater than $0.03, because you'd start working towards your overall margins, which are prior to this sort of $0.10, $0.11. So that's, if I go from whatever the negative is, equated to $0.03 multi – three, five years plan, I head towards $0.11. That's what I'm playing with.
Dominick P. Zarcone - LKQ Corp.: Yeah. So, the key is going to be, we're – we continue to be optimistic, we continue to feel strongly in our perspectives. At the end of the day, it's how many of the branches that we've acquired are we going to be able to keep.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Does your case get made stronger, because of Uni-Select's Parts Alliance acquisition, now that there is a well-capitalized bigger player, owns the 160 branches?
Dominick P. Zarcone - LKQ Corp.: Probably not, because the competitors on the street corner are still the same competitors on the street corner. They're just owned by somebody else.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. And then I presume that the Benelux transactions are key component from going from three to two-step and how quickly can that happen?
Dominick P. Zarcone - LKQ Corp.: Yeah. So, just as we did in the Netherlands, where we brought some of the larger distributors that we were selling to, we brought some of our larger customers, the flip from three-step to two-step, that's really what the acquisition of the four businesses in Belgium were all about. They have a good market share and that will allow us basically to get to the last mile for the garage which is what – we were missing that.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: And that integration to make that switch now that they're owned is relatively immediate, I mean, like within 90 days?
Dominick P. Zarcone - LKQ Corp.: Well, again, nothing happens quite that fast, Michael.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Yeah, yeah.
Dominick P. Zarcone - LKQ Corp.: But over the next year, just like over the last year, as we've integrated the Netherlands tuck-in acquisitions, over a year, you begin to move it a little bit and, ultimately, it'll look like the one big seamless enterprise in Belgium.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Right. And then last question for me on opportunities to further consolidate market. So, you're not in Germany, France, Spain. There's big family businesses in Germany. There's two big businesses owned by private equity in France and lots of little companies in Spain. It appears that the bigger companies in France and Germany are being acquisitive too. So, couple of questions on this front. Are they being rational when they're being acquisitive and valuations are staying within reasonable ranges? And two, what's your opportunity, if they're showing a – they're being acquisitive, what's what your opportunity to penetrate those markets?
Dominick P. Zarcone - LKQ Corp.: Yeah. So, again, we haven't bumped up against the big French companies in acquisitions kind of head-to-head, so I can't comment directly as to whether they're being rational or not. They're good companies, they're solid companies, they've got good capital structures, right. Whether they decide to sell is going to be up to their private equity owners. With respect to some of the other countries, Germany, Spain, if you will, we believe that given our presence in the marketplace, we will have an opportunity to at least look at those businesses if and when they come to market. And we think that with our base of operations, we have as much, if not more, ability to create synergies than anyone else in Europe. But we have to wait. Again, we can't force somebody to come to market.
Michael E. Hoffman - Stifel, Nicolaus & Co., Inc.: Okay. Thank you for taking my questions.
Dominick P. Zarcone - LKQ Corp.: No problem.
Operator: Your next question comes from the line of Bret Jordan with Jefferies. Your line is open.
Bret Jordan - Jefferies LLC: Hi. Good morning, guys.
Dominick P. Zarcone - LKQ Corp.: Good morning, Bret.
Bret Jordan - Jefferies LLC: I think in the prepared remarks, you talked about the UK collision business gaining some traction as a cost saving initiative. Could you tell us what we are doing in collision revenues and maybe the growth rate over there?
Dominick P. Zarcone - LKQ Corp.: Yeah. So, the collision business, relative to the ECP is still relatively small, right? It's running somewhere on the order of £50 million, £60 million. But it's growing nicely. Collision in the UK, I think, was up about 10% in Q2 over Q2 of last year. So, still outperformance from a growth perspective. The key there is, ultimately, the insurance companies in Europe are no different than the insurance companies in the U.S. And they've got the same pressure to try and get claims costs down. And part of the way they do that is through parts, and part of the way they do that is through cycle time. I mean, we have, as you know, ongoing pilots and programs with 18 of the larger insurance companies over in the UK, and a couple of them have told us that, as a result of our ability to get them parts and get them parts quickly, they're seeing their cycle times begin to move down. So, we think that, ultimately, that bodes well for our ability to create an ever meaningful business in collision parts over – not just in the UK where we are today, but ultimately to bring that on to Continent as well.
Bret Jordan - Jefferies LLC: Okay. And then in the U.S., obviously, Specialty was a pretty solid and it looks like Stag and Coast deal have worked well on the RV side. Would you give us the mix of RV versus vehicle performance parts within Specialty?
Dominick P. Zarcone - LKQ Corp.: We don't disclose that, Bret. But if you backed into kind of what Coast was almost exclusively RV, and Stag was exclusively RV. So, you're – probably a little bit north of a third.
Bret Jordan - Jefferies LLC: Okay. Great. And then, I guess, in a collision publication, not too long ago, there was mentioned that maybe you're getting into some distribution of OE parts, with Fiat Chrysler as a partner. Could you comment on that initiative at all?
Dominick P. Zarcone - LKQ Corp.: We don't comment on any particular customer and the like, because of agreements that we have with some of our customers, at all. But the reality is, is we're always looking to expand our distribution of parts. I think there is a lot of folks in the marketplace who recognize the power that we have as being the largest distributor of collision-related parts in North America and that there is opportunities for them to leverage our distribution background.
Bret Jordan - Jefferies LLC: Okay. So you are doing some OE parts, I guess, is the answer?
Dominick P. Zarcone - LKQ Corp.: We are.
Bret Jordan - Jefferies LLC: Okay. Great. And I guess one last question, I shouldn't even bother to ask the State Farm question, but anything going on with State Farm?
Dominick P. Zarcone - LKQ Corp.: No new news.
Bret Jordan - Jefferies LLC: All right. Thank you.
Dominick P. Zarcone - LKQ Corp.: Well, thank you, Bret.
Operator: Your next question comes from the line of Craig Kennison with Baird. Your line is open.
Craig R. Kennison - Robert W. Baird & Co., Inc.: Yeah. Good afternoon. Good morning. Michael, nice to hear you on the call as well. I wanted to follow up on a prior question, regarding T2 and sort of the redundant costs you're facing in 2017 and how that might look in 2018 when those redundant costs roll off?
Dominick P. Zarcone - LKQ Corp.: Craig, this is Nick. Good morning. As we've stated now going back to the mid 2015, right, we are incurring costs at T2 even though – well, at least up until last Tuesday hadn't shipped a single product out of the facility because we've been paying rent and we're paying utilities, we're staffing up with labor and the like. And in the meantime, we're keeping the other two facilities that will ultimately get shut down, they're running full bore. So we're still paying the rents and the utilities and the labor and everything else there. Ultimately, once we know that T2 is operating exactly as it needs to be and there is little to no risk of any fulfillment issues as it relates to keeping our 200 plus branches stock full on a daily basis, we will shut down two of other facilities. And so, we will save the rent and the labor and the like. We quantified that the impact of T2 was $0.03 last year, another $0.02 this year, so $0.05 in total. We won't begin to rationalize the other two facilities until 2018. So, we won't get the entire nickel back next year, but we will get, we believe, some good portion of that back. And then by 2019, there should be the rest of the positive benefits.
Michael S. Clark - LKQ Corp.: Craig, this is Michael. Just of note, the impact of T2 is transitioning from below gross margin to above gross margin as we move it into operation. So, you start to see the impact more on the gross margin than just on EBITDA.
Craig R. Kennison - Robert W. Baird & Co., Inc.: Yeah. Thanks. And then with respect to Europe, I'm guessing that some of your competitors there think of LKQ as their potential exit strategy given your M&A strategy. But I wonder to what extent you've got the scale necessary to attack some of those markets organically, at least where you have nearby operations?
Dominick P. Zarcone - LKQ Corp.: Probably, we can go both ways. I mean if you think about what we've done with Rhiag, okay, we bought a really big business, and yet we've added more than 40 additional branches, which is a program that we brought to the table more than what they were doing on their own. I always believe that it's not just what you buy that's important, but what you do with what you buy, that's really important, and the ability to add branches is critical. We can go into some of those other locations and try and greenfield, if you will, and just add branches. Part of it is, though – creating a presence is hard and that would be a long road. So, it'd probably be a combination, Craig, of both acquired entities to get a base and then to continue to build the branch network, which we can do on our own once we have a base.
Craig R. Kennison - Robert W. Baird & Co., Inc.: Great. And then last question from me, just in terms of North American organic growth, what is embedded in your forecast for 2018?
Dominick P. Zarcone - LKQ Corp.: Yeah. So, if you take a look at – we narrowed the range based on where we are. The reality is, at the low end of the range, at 4%, if North American organic isn't around where it was in Q2, that will cover us for the low-end. At the high end, North American organic would probably need to move close to 4% in the back half of the year. So, longer looking, we would anticipate that North American organic, obviously, would continue to move up, particularly if we get any sort of normal winter weather pattern in 2018.
Craig R. Kennison - Robert W. Baird & Co., Inc.: Hey, that helps. Thank you.
Operator: Your next question comes from the line of Ben Bienvenu with Stephens, Inc. Your line is open.
Benjamin Bienvenu - Stephens, Inc.: Thanks. Good morning.
Dominick P. Zarcone - LKQ Corp.: Good morning, Ben.
Benjamin Bienvenu - Stephens, Inc.: If I could follow up on the North American organic growth side, recognizing that you have one less selling day in 3Q, you saw a nice sequential acceleration from 1Q to 2Q. Is it your expectation that growth should be similar to 2Q on a headline basis, or is there the potential for sequential further acceleration on headline front (57:06)?
Dominick P. Zarcone - LKQ Corp.: Let's talk on a same-day basis, because that takes the calendar out of the mix.
Benjamin Bienvenu - Stephens, Inc.: Okay.
Dominick P. Zarcone - LKQ Corp.: On a same-day basis, we think that Q2 kind of serves as a baseline. We're cognizant of the fact that as we move though the back half of the year, we get slightly easier comps, because as you recall, the organic growth comps in the back half last year were still coming in. So, I would say, a baseline that's slightly moving north in the back half of the year from a North American organic perspective.
Benjamin Bienvenu - Stephens, Inc.: Okay. Great. And then, similarly, in 2Q, is there any color you could provide around cadence within the quarter as well as geographic disparities in performance? I know you touched on that in prior quarters that there was quite a bit of geographic disparity.
Dominick P. Zarcone - LKQ Corp.: Yeah. So, the Northeast and the kind of the Midwest, which are kind of key winter states, continue to be a little bit behind the curve on a relative basis to the overall LKQ footprint as a central region, and the West continue to be a bit stronger. Again, people got to remember, this is a big country. And what happens in the Northeast could be completely different than what's going on in the Southwest, right. And from a cadence perspective, we don't disclose results, Ben, as you know, but we're comfortable with where we're headed into Q3.
Benjamin Bienvenu - Stephens, Inc.: That's great. And then just one last one for me, as it relates to your M&A strategy. You've steadily reduced leverage on the balance sheet as we've moved into the year. How much more do you think you need to delever the balance sheet before you feel comfortable making a major acquisition if the opportunity arises?
Dominick P. Zarcone - LKQ Corp.: If the opportunity arises, we're ready to go today.
Benjamin Bienvenu - Stephens, Inc.: Great.
Dominick P. Zarcone - LKQ Corp.: The reality is, is we're going to pay off or continue to pay down our debt, because we generate a lot of cash. And it's not a question of waiting to do an acquisition to get our – because we want to get our leverage down, it's really waiting for those acquisitions to come to market. We don't control the timing there.
Benjamin Bienvenu - Stephens, Inc.: Understood. Thanks, and good luck.
Operator: Your final question comes from the line of Samik Chatterjee with JPMorgan. Your line is open.
Samik X. Chatterjee - JPMorgan Securities LLC: Good morning. Hi, Nick. Just on...
Dominick P. Zarcone - LKQ Corp.: Good morning, Samik.
Samik X. Chatterjee - JPMorgan Securities LLC: Morning. Just on the North America segment, just wanted to get your thoughts. I know the aftermarket here has been a bit more challenging than years past, but do you see an opportunity to maybe accelerate some of the cost optimization plans you had for maybe like – initially scheduled for next year and excluding those to sort of pull ahead the earnings growth, is there some plans regarding that?
Dominick P. Zarcone - LKQ Corp.: Yeah. So, the reality is we're trying to continue to grow and optimize all of our businesses, whether it's on the salvage side or on the aftermarket side. Again, the core products on the collision space are actually performing quite well. As Michael indicated in his comments, the margins – gross margins in aftermarket were down just a tad. And part of that, quite frankly, has to do with – bigger customers get bigger discounts, and as the MSOs continue to get larger and larger and create a bigger piece of the pie, that's actually good for us, because they use a lot of the parts that we sell. On the operating side, again, we're trying to do the best we can to optimize our overall cost and whether it's things like the procurement initiatives, which were largely through Roadnet, which is – as I indicated in my comments, we think will continue to add benefits. Again Roadnet, it's not salvage versus aftermarket, it's our total parts, North America, but we will be able to get leverage there.
Samik X. Chatterjee - JPMorgan Securities LLC: Got it. Got it.
Dominick P. Zarcone - LKQ Corp.: Is that helpful?
Samik X. Chatterjee - JPMorgan Securities LLC: Yeah. Yeah. Defiantly. And just thinking about Europe and how much of headroom you have there still in terms of store expansions. I know on slide 19, you sort of specify what your store count is for ECP and Rhiag, and that's grown considerably since last year. How should we think about sort of what the long-term target would be for store count for like ECP and Rhiag, just to get a sense of how much growth is left just in terms of store expansion?
Dominick P. Zarcone - LKQ Corp.: Yeah, the ECP question, Samik, is really going to depend on where we end up with Andrew Page and how many of those 106 branches that we've acquired we'll be able to keep, because assuming if we are able to keep most, all those, the need then to add incremental branches to be able to get closer to the customers goes down a bit. In Eastern Europe, where we've added those (1:02:55) branches over the last 12 months, we are in the early days there. That's a market where the car park is growing, the age of the cars is really old and so we sell – the demand for the types of parts we sell is really high. The organic growth there, we think, is going to be good for years to come and there's the ability to add, call it, 10 to 12 branches a quarter for a long time.
Samik X. Chatterjee - JPMorgan Securities LLC: Got it. And just finally, clarification, I know in the Specialty segment, you mentioned a negative mix this quarter. Can you just provide some more details on what was that?
Dominick P. Zarcone - LKQ Corp.: Could you ask that again?
Samik X. Chatterjee - JPMorgan Securities LLC: The negative mix in the Specialty segment which impacted gross margin this quarter, I believe that was part of the prepared remarks.
Michael S. Clark - LKQ Corp.: Yeah, there's a negative mix related to the sales channels we use, a little bit more on the drop ship side which has lower margins.
Samik X. Chatterjee - JPMorgan Securities LLC: Okay. Got it. Great. Thank you.
Operator: There are no further questions. I will turn the call back over to the presenters.
Dominick P. Zarcone - LKQ Corp.: Well, thank you, everyone, for joining us on the call. We do appreciate the time that you spent with us. Hopefully, this was helpful to everybody, and we look forward to chatting again in about 90 days. Have a great day.
Operator: This concludes today's conference call. You may now disconnect.